Operator: Good day, and welcome to the AerCap Second Quarter 2019 Financial Results Call. Today's conference is being recorded and a transcript will be available following the call on the company's website.  At this time, I would like to turn the conference over to Joseph McGinley, Head of Investor Relations at AerCap. Please go ahead, sir.
Joseph McGinley: Thank you, operator, and hello, everyone. Welcome to our second quarter 2019 conference call. With me today is our Chief Executive Officer, Aengus Kelly; and our Chief Financial Officer, Pete Juhas. Before we begin today's call, I would like to remind you that some statements made during this conference call which are not historical facts may be forward-looking statements. Forward-looking statements involve risks and uncertainties that may cause actual results or events to differ materially from those expressed or implied in such statements. AerCap undertakes no obligation, other than that imposed by law, to publicly update or revise any forward-looking statements to reflect future events, information, or circumstances that arise after this call. Further information concerning issues that could materially affect performance can be found in AerCap's earnings release dated July 30, 2019. A copy of the earnings release and conference call presentation are available on our website at aercap.com. This call is open to the public and is being webcast simultaneously at aercap.com and will be archived for replay. We will shortly run through our earnings presentation and will allow time at the end for Q&A. As a reminder, I would ask that analysts limit themselves to one question and one follow-up. I will now turn the call over to Aengus Kelly.
Aengus Kelly: Thank you, Joe. Good morning, everyone, and thank you for joining us for our second quarter 2019 earnings call. I am extremely pleased to report to you, our shareholders, an all time record quarter with earnings per share of $2.42. This outstanding result is a product of our unrivaled platform capabilities and our disciplined approach to capital allocation.  Our focus on acquiring only the most in-demand new technology aircraft type, rather than end-of-line current technology aircraft and selling large numbers of older aircraft at a considerable premium has produced an excellent portfolio. This strategy has also enabled us to repurchase over 40% of our outstanding shares at a discount to book value, while reducing our leverage and maintaining the highest liquidity levels in our industry.  In the last 12 months we have taken delivery of 77 aircraft and increased our average lease assets by $2.7 billion. Today, our portfolio is 53% new technology aircraft. This is the highest percentage of any major aircraft lessor in the world. And just as importantly, for the last eight years AerCap has avoided ordering any end-of-line current technology aircraft. This barbell approach means we only require certain variants of new technology aircraft, such as A320neos and 787-9s, not end-of-line current technology aircraft. As in our view, it is the best way to maximize long-term returns for our shareholders. This is actually a contrarian view.  As many investors and some rating agencies look purely at the average age of a fleet, rather than the components behind it to measure fleet quality, we believe that this approach does not fully capture the risks and the rewards of an aircraft leasing business.  Today, AerCap has an order book of 331 of the most in-demand variants of new technology aircraft that we’ll deliver between now and 2023. We are well placed out into the future, including 90% placed in all of our new deliveries through the end of 2021.  Relative to our balance sheet size of $43 billion, our remaining forward order cash commitments of $16.3 billion over the next five years are very manageable, particularly when this is tied to our industry-leading liquidity position. This quarter is another example of the consistency of the earnings power of AerCap, which is driven primarily by the capabilities of the platform.  The average lease expiry days of our fleet today is the end of 2026. This is almost 7.5 years from now and is despite having an older average age of our fleet than several other competitors.  Like our industry-leading EPS of $2.42, this is a tangible example of the superior capabilities of the AerCap platform. The longevity of our contracted revenue gives us significant visibility into our future cash flows and profits.  The consistency and reliability of our performance is one of the key hallmarks of AerCap’s business model. AerCap also has the world's leading platform for the sale of used aircraft. For the last five years, we have accounted for a significant portion of all the sales of mid-life and older aircraft in the global markets.  In an opaque market, that volume of activity gives us tremendous information on advantages and knowledge about aircraft values, which we use to make intelligent decisions that create value for our shareholders. There continues to be very strong demand from buyers for older and mid-life assets. In the second quarter, we continued to sell assets into the strong secondary markets with 22 owned aircraft in Q2 for just over $500 million. We sold 81 owned, mid-life and older aircraft in the last 12 months. These sales have reduced our exposure to certain aircraft types, airline credits and recycled capital into more accretive opportunities.  As we look at our capital deployment options between aircraft purchases, delevering M&A and capital returns to shareholders, it is clear that the discount to book value that currently exists provides us with the greatest opportunity to create value for our shareholders. Given this, we announced the further 200 million repurchase authorization in June, so it’s the ability to continue to take advantage of this opportunity throughout the year.  On the topic of the MAX, Boeing continues to work with the civil aviation authorities to ensure the aircrafts return to service. And they now seem they will obtain regulatory approval in the fourth quarter of this year. To-date we have taken delivery of five MAX aircraft. We had originally expected to receive 17 this year. The number that we actually received will ultimately depend on the timing of the fix and when Boeing can deliver the aircraft to our airline customers. Turning to the demand side, IATA reported an increase in RPK growth of 4.5% in May which is above the 3.1% posted in March but below the 20 year average of 5.5%. That growth in May was broad-based but led by Latin America at 6.5%. Low factors however reached to new record for May at 81.5%, which we believe underpins the demand for aircraft.  As we said before, the best indicator for AerCap, whether or not there is support for growth at these levels is what is actually happening with our aircraft placement activity everyday in the market and we continue to see solid demand.  In closing our record results this quarter demonstrate once again the competitive advantages and consistency of AerCap’s business. We will continue to run the business to optimize shareholder value and generate sustainable and consistent returns for our shareholders.  With that, I will hand the call over to Pete. 
Peter Juhas : Thanks, Gus, good morning, everyone. AerCap produced a very strong performance in the second quarter. We have record earnings per share of $2.42, a 42% increase from last year. Our book value per share is now $67.08, an increase of 13% over the last 12 months. We’ve continued to grow by taking delivery of new technology aircraft and our average lease assets increased by $2.7 billion year-over-year. We completed 82 aircraft transactions in the second quarter including 17 for widebodies. This included purchases of 11 new technology aircraft during the quarter and sales of 22 of our older and mid-life aircraft. Our utilization rates remained very high at 99.4% for the quarter. Our average remaining lease term is now 7.4 years, one of the longest of any major lessor. We continue to carry very strong levels of liquidity and we’re now 2 times covered for all of our cash needs over the next 12 months. And we continued with our share repurchases and announced new $200 million program in June.  In the second quarter we repurchased 3.5 million shares for $169 million. And so far this year, we’ve repurchased 7.2 million shares for a total of $337 million, which is an average discount to book of 29%. So altogether, it was a very strong quarter that reflects our consistent operating performance, the power of the AerCap platform and our disciplined approach to managing our assets and allocating our capital.  Our net income increased by 30% compared to the second quarter of 2018 and our EPS increased by 42% year-over-year to a record $2.42 for the quarter. This increase is a direct result of our capital allocation strategy in three key respects.  First, our net income increased as we grew our average lease assets by $2.7 billion as we’ve taken delivery of 77 new tech aircraft over the past 12 months. Second, we sold 22 aircraft in the second quarter for $502 million and we’ve sold 81 aircraft over the past 12 months for approximately $1.5 billion. These are older and mid-life aircraft from our portfolio that we’re selling as part of our strategy to transition our fleet away from these aircraft types, and towards the new technology fleet. This strategy has consistently produced gains on sale, including $78 million worth of gains in the second quarter. But more importantly, it’s given us proceeds and capital that we can redeploy into other more attractive opportunities. Third, as we've discussed before, we continue to believe that AerCap stock is a compelling investment opportunity.  By selling older aircraft at a gain and reinvesting the proceeds in a better portfolio at a significant discount to book we can create significant value for our shareholders over the long-term. In this quarter, you can see the impact of that redeployment of capital. While our net income went up by 30% year-over-year, our EPS was up by 42%, due to the repurchase of almost 15 million shares since April of last year and that's basically 10% of our total outstanding shares that we bought back over the past year.  Now, we could have hold on to those planes or done economically unattractive sale leasebacks instead, but ultimately we're focused on getting the best economic results for our shareholders. So that's where you can see our capital allocation strategy at work in this quarter's results.  On Slide 6, our total revenues for the quarter were up by 7% year-over-year driven primarily by the increase in our average lease assets in the second quarter. Our basic lease rents increased to $1.77 billion. Maintenance revenues were about flat year-over-year and other income was higher in the second quarter of 2019 primarily due to higher interest income.  Turning to Slide 7, our net interest margin was $755 million for the second quarter, and the increase over the last year was due to growth in our basic lease rents driven by the higher average lease assets.  Our average cost of debt for the second quarter was 3.95% before debt issuance cost and fees of about 34 basis points, including those costs it was around 4.3% for the second quarter, with the increase from 2018 driven primarily by the roll off of fair value of debt related to purchase accounting. Our net spread less depreciation was 3.4% for the second quarter, up from 3.2% last year. That was primarily driven by a lower depreciation rate as we reduced the age of our fleet as well as to lower maintenance rights expense, as our maintenance rights asset continued to roll off.  The average age of our fleet decreased from 6.6 years to 6.2 years at the end of June. We achieved this through a combination of purchases of all new technology aircraft and sales of older current type aircraft. The average age of our new tech aircraft which represent 53% of our fleet today is only two years, while the average age of our current tech fleet is around 11 years. And we believe this barbell approach is the correct way to manage our portfolio.  As I mentioned before, our average remaining lease term has increased to 7.4 years, one of the longest in the industry, and this gives us strong visibility into our future lease revenues and cash flows.  So effectively in the second quarter of 2019, we're generating higher returns on a better positioned portfolio for the lower average age, a higher proportion of new tech assets and a longer average remaining lease term.  Turning to Slide 8, our net gain on sales was $78 million for the second quarter. During the quarter we sold 22 of our owned aircraft with an average age of 16 years. That resulted in sales of $502 million for the quarter. Our unlevered gain on sale margin was higher than usual at 18% for the quarter.  We’ve continued to see strong demand from buyers for less older aircraft. We said in April that we expected to sell about $1.5 billion of aircraft for the full year. Given our sales to-date at this point I think we will be closer to $2 billion of sales for the full year.  Turning to aircraft purchases, in the second quarter we took delivery of 11 aircraft for CapEx of around $900 million. That was lower than we'd expected because of the MAX delays. As you can see from our supplemental materials, we're now assuming that we'll take delivery of only three MAXs this year. Ultimately of course the number will depend on when the MAX receives certification and when Boeing recommends its deliveries but that’s our best estimate at the moment. So for the full year 2019 we now expect our CapEx to be around $4.5 billion.  Slide 9, our SG&A expenses were around $65 million for the quarter, a decrease of 24% from $85 million last year. That $65 million equates to about 5% of our revenues which shows the efficiency of our platform. The decrease from last year is mainly due to lower compensation related expenses. As in previous quarters, all of the asset impairments in the second quarter related to lease terminations and aircraft sales, the maintenance revenue recognized on the impaired aircraft more than offset the amount of the impairment.  Our maintenance rights expense was $16 million for the second quarter, down from $35 million in 2018 and this was primarily driven by the lower maintenance rights asset balance which has from down substantially from 2014 and is now under $1 billion. But the maintenance rights expense was particularly low in the second quarter based on the timing of maintenance events.  Our other leasing expenses were around $49 million for the second quarter, a decrease from about $68 million last year and this decrease was due to lower expenses related to lease terminations compared to the prior year period.  Slide 10, we continue to maintain a very strong liquidity position. As of June 30, we had available liquidity of $8.6 billion. That includes our cash, our revolvers, our other undrawn facilities, and our contracted sales. Together with our operating cash flows, that gives us total cash sources of $11.8 billion which is 2 times our cash needs over the next 12 months and that amounts to excess cash coverage around $6 billion. This is our highest coverage ratio ever and shows our commitment to maintaining a high level of liquidity at all times.  Now this quarter the number was somewhat elevated because we have very little debt maturing over the next 12 months. But as you can see from the chart we have exceeded our target level every single quarter.  Finally, on Slide 12, our book value per share -- our book value at the end of June was just over $9 billion per share and our book value per share was $67.08 compared to $59.25 last June. That’s a 13% increase over the past 12 months. And over the past five years, we've grown our book value per share at a CAGR of around 15%. Through our operating performance and capital allocation strategy, we can continue to generate strong growth in book value per share year-after-year.  So to wrap up then, we had a record second quarter. Our utilization rate was high. Our fleet continues to grow with the addition of new tech aircraft replaced far out into the future and we continue to sell used aircraft at attractive prices.  We ended the quarter with a record level of liquidity. And through our capital allocation strategy, we continue to generate strong double-digit growth in our book value per share. As we look out now at the full year 2019, we currently expect to have core EPS that is EPS excluding gain from sale of between $6.60 and $6.80 for the full year.  With that, now, I will turn it over for Q&A.
Operator: [Operator instructions]. Our first question comes from Jamie Baker of JP Morgan. Please go ahead. 
Jamie Baker: Starting over the MAX related question here. Now that Boeing has established its reimbursement pool, how should we think about compensation and how it courses through the earnings model? I realize remuneration hasn't been negotiated yet. I'm just wondering about the mechanics of how you expect to be reimbursed and how we should model for that. Any thoughts?
Aengus Kelly: Jamie, it's too early to discuss that. There are various ways that Boeing has to provide compensation. But at this early stage, it's too early to discuss that. 
Jamie Baker: Okay, fair enough. Second on the aircraft sales over the last 12 months. Could you add any color as to how pricing in the recent six months period compared to the first six months of that period on a like-for-like basis particularly on the narrow body side? Just looking for how pricing might have evolved over the last 12 months?
Aengus Kelly: Sure, I’m pretty happy to Jamie. 12 months ago the market was extremely strong, no question about it. Then as we came into the very end of this year in December or the very end of 2018 with the market -- had all financial markets under pressure and coming into the Dublin Airfinance Conference in January, we were concerned whether there be as many buyers of airplane. But I think it's fair to say that at that time people were more cautious and patient. But certainly over the last four months we’ve seen a full return to where we were in terms of prices 12 months ago. So really I think any temporary aberration was driven by that December sell-off, but I can firmly say recovered very quickly as evidenced by our results. 
Operator: Our next question comes from Ross Harvey of Davy. Please go ahead. 
Ross Harvey : Good afternoon guys. Two from me, with just one clarification. Firstly, can you provide any guidance on the expected gain on sale margin in H2? It was particularly strong figure in Q2, what we should expect for second half? And secondly, one maybe for Pete, the quarter end cash on hand level just under $1 billion. Does this sort of indicate what should establish as a new norm or should it revert back over the coming quarters? And just on the clarification side, just to double check, the core EPS which you outlined for 2019 was $6.60 to $6.80 including gains on sale, is that correct?
Aengus Kelly: Yes, Ross, thank you. So I'll take the first with the last question. Yes, core EPS excluding gains on sale for the year $6.60 to $6.80 just to confirm that, which is the increase obviously from our previous guidance of $6.00 to $6.20 for the full year.  Second, in terms of gains on sale, we don't project those margins. Although if you look historically, they've generally been between 3% and 5% and 10% on an unlevered basis. So obviously this quarter was higher at 18%. It was significantly higher. And that's really just due to the mix of what was sold. That will bounce around in a particular quarter and we've shown that before, last quarter, we had a chart there that showed that. So you can see that move around. But I think in general, 5% to 10% is a reasonable estimate. But again, it will move around quarter-to-quarter.  And sorry, what was your -- did you have a third question? 
Ross Harvey : Yes, it’s in relation to your cash on hand.
Peter Juhas : Yes. So the cash on hand around $800 million, I mean we have been running that at around $1 billion. And we decided that we can probably bring that down a little bit. So we ended the quarter at $800 million. Again, you can see that in particular we have a fair amount of CapEx coming up over the next several quarters but pretty low debt maturities. I think this is a reasonable level for us to running at. So I think we could keep it at $800 million and then you see on the liquidity side generally speaking we are at 2 times coverage over the next 12 months which is a very high level.
Operator: [Operator Instructions]. Our next question comes from Kristine Liwag from Bank of America. Please go ahead. 
Kristine Liwag: For the 95 737 MAX you have an order, how much in pre-delivery payment have you made? And with the aircraft still grounded, what are your obligations for pre-delivery payments for the rest of ‘19? For the three aircrafts you have said you need receipt for the full year and then also for 2020.
Aengus Kelly: Kristine we don’t break out the PDP by individual the aircraft type. That’s competitively sensitive information as we have a number of different types on order. We are -- in terms of our contract of course whatever obligations we have in our contract, we will comply them. Whatever rights under our contract we have, we will enforce. 
Kristine Liwag: Maybe switching gears, for the Embraer E190/195-E2, has the Boeing and Embraer deal on this aircraft change the demand? And also what percent of your 35 E2 aircraft through 2021 is already placed? 
Aengus Kelly: As of almost 12 months ago, we had placed 47 out of the 50 we have on order. So all intents and purposes done on that and we were done some time ago and which again shows you the difference between the capabilities of AerCap and anyone else's order that airplane, most airplanes for that matter. Since the tie up with Boeing of course, there has to been more interest in the aircraft. One of the issues that subscale OEM struggle with is a global logistics chain to support an airplane around the globe on a 24 hour basis and that is where Bombardier and Embraer are at a distinct competitive disadvantage to the giants of Airbus and Boeing will have that. And so now that Embraer has that or just coming once the deal closes, we can already see the level of interest in the aircraft picking up considerably. 
Kristine Liwag: And since you’ve already placed the majority of the existing orders you have, what else do you have to seek to place more orders for the E2? And then also tied to that, you already mentioned with the tie up with Bombardier on the C Series, what’s now called the A220, would that airplane success with its partnership with Airbus, does that make that asset more attractive too as well?
Aengus Kelly: I think it’s just demonstrably true that any airplane that becomes part of the Airbus and Boeing’s table, it just becomes more attractive automatically than it was before. In terms of the E2, we’ve placed a lot of them. I think we want to see now how the merger goes with between Boeing and Embraer. I think there is tremendous opportunity to go on the offense with this airplane provided the integration of the two companies that’s successfully done and done quickly for that matter. 
Kristine Liwag: On the A220?
Aengus Kelly: On the A220 I mean we continue to look at them. On the Airbus side, it's fair to say that the A320neo family airplane has been a tremendous success, replaced all our needs as until 2022 and we placed more than anyone else in the world. And so, that airplane has done very well. And will continue to look at the A220 as well to see how its commonality evolves with the rest of the highly successful 220 family.
Operator: In the interests of all the analysts, I’d just like to remind you, please limit yourselves to one question and one follow up please. Our next question comes from Catherine O'Brien of Goldman Sachs. Please go ahead. 
Catherine O'Brien: So maybe just a question on update to your core EPS guidance. Pretty impressive given that CapEx has had to come in a bit because of delivery delays. Could you just maybe walk us through what on the cost side of the house has improved versus your prior expectations, or maybe just the lease rentals you are getting on that lower CapEx base? Any puts and takes would be helpful? Thank you.
Peter Juhas : Sure. So I'd say the main drivers, Catherine, we are seeing some more revenue on the maintenance side. So the maintenance contribution has been higher than what we expected it to be. So that's one driver. Some of the costs have been lower than we expected. So SG&A, as I mentioned was $65 million, that's a little lower than we expected it to be. On the leasing expense side, those have been a little lower than we had expected. So there are a number of items that contribute to that estimate. But I'd say those are the main ones.
Catherine O'Brien: And then, maybe Gus, a number of your peers noted that while there haven't been any notable exits, the pace of growth of some of the new entrants out of Asia has slowed over the past year. I guess first, are you seeing that? And then second, of the more global base of new entrants focused on the sale-leaseback market, have you seen any of those players place orders or material orders with the OEMs or they’re primarily sticking to sale-leaseback market itself? Thank you. Appreciate it. 
Aengus Kelly: Sure. Well, I think actually, I understand that China Minsheng has sold most if not all of its portfolio. So they would be the first to turn the tail. ICBC also was reported to have sold significant portion of its portfolio. So, look, I wouldn't say that there are many of the new entrants that have significantly reduced their interest in the sector. But I do think some of the new entrants that came over the last four or five years are beginning to become more rational and more thoughtful in how they deploy their capital.  And I think we do see signs of that in the sale-leaseback market. It's still 2013 since AerCap had usually its last sale-leaseback transaction. It hasn't stopped. It’s growing faster than anyone in the industry has ever grown before though. So there's plenty of opportunities in this business if you're patient and disciplined. But then by the same token, when the opportunities lie, you do have to be aggressive. But I would say overall, there's still extremely strong beat in the sale-leaseback market for new airplanes. But probably some of the participants are a bit more thoughtful than they may have been in prior years.
Catherine O'Brien: Okay, that's great. And then have you seen any of those sale-leaseback players branch out into placing orders with OEMs?
Aengus Kelly: Not many really. I mean it's a very small group of people who have an order book of more than 10 or 15 widebodies and 30 or 40 narrow bodies, you’re into a very small number of operator zone. So you might see a few of them place some a few small narrow body orders. But I don’t see anything dramatic change in there at the top table. 
Operator: Our next question comes from Rajeev Lalwani of Morgan Stanley. Please go ahead. 
Jonathan Morales: It’s actually Jonathan on for Rajeev. I wanted your thoughts on the pending widebody replacement cycle. Boeing has obviously been out talking about how that’s something they see maybe early next decade. Just wondering your thoughts on whether that’s something you’re beginning to see as you start to place aircraft out into 2020 and how are you positioned for it?
Aengus Kelly: Well, I think that goes back to how we set up the portfolio and the consistent strategy we’ve had for many years. In that we do believe that for the next decade are the best parts of us, the 330 and the 777 will be the backbone of long haul travel. Having said that as we get to the end of the 2020, we’re going to see those aircraft replaced by the 787 and by the A350 predominantly and that is something in our position we see and that’s why we were very keen to stress that looking at the average age of a portfolio does not capture the risks and rewards within a portfolio. So based on what I said you’d much prefer to own a 12 year old 777 than a three year old one. With the 12 year old one, you’d have no economic exposure too. When the residual value -- when the economic cycle or the replacement cycle as you say starts to really kick in, the end of this, the coming decade, whereas you’d one that has 10 or 12 year left to consume you’re in a very different position. So we would agree that there is a replacement cycle out there. But you need to be positioning yourself for this many, many years in advance and I don’t believe anyone has done the work that AerCap has done to position its portfolio with that barbell approach that we just spoke about. 
Jonathan Morales: Thanks. And if I could just one more. Obviously you guys talked about higher elevated sales this year. Is that going to impact your fleet age target for the year? And I know I think you have talked about expecting that to be in the low 6s this year. Does that change at all or does it get pushed out?
Aengus Kelly: No, no, it’s -- as of June 30th, we were at 6.2 years and so I think we’ll continue to be just over six years, in the low 6s at the end of the year as well, which is pretty consistent with what we have said before. 
Operator: Our next question comes from Scott Valentin of Compass Point Research. Please go ahead. 
Scott Valentin: Peter, you mentioned earlier the contributors to the higher core EPS guidance. I’m just wondering if there is any upside to that 8% margin, rates have kind of maybe -- the trajectory of rates have changed a little bit, this mid to long-term rates have come down. Just wondering if there’s maybe upside to the 8% margin you guys have talked about?
Peter Juhas : The 8% spread. Yes I’d still expect this quite to be 8% this year. I mean what we’ve seen on the debt side, on the interest rate side, so you saw our cost to debt this quarter was 4.3% including all of those fees and costs which is about 35 basis points. I think for the full year it will probably be around 4.2%. But given what we've seen in the market where we've seen rates going down and pulling back, right, we've seen a compression of spreads. Today, our funding costs are well below 4%. So if we were to do a 10 year today for instance, we could do that -- a 10 year unsecured bond, we could do that under 4%, we could do it five year at just over 3%. So if we see this environment continue, we would see that cost of debt come down and we would see a benefit to spread. 
Scott Valentin: Thank you for that. And then just a housekeeping question. On the buyback capacity, how much is still authorized of the $200 million that was announced in June? 
Peter Juhas : About a $190 million is still authorized. 
Operator: Our next question comes from Helane Becker of Cowen. Please go ahead. 
Helane Becker : I think Peter, remind us for just, what would CapEx have been had you gotten your full complement of aircraft this year versus what you forecasted will be now?
Peter Juhas : Helane, thanks. So we had originally expected it to be just under $6 billion for the year. And now we're expecting about $4.5 billion. 
Helane Becker : Okay. And then the other question I had was with respect to LIBOR. I noticed you still use LIBOR plus for some of your debt. And it's going away in another year and half or so. And I'm just kind of wondering, are there provisions to replace LIBOR with another benchmark?
Peter Juhas : Well. There are a couple of different benchmarks that will be considered including SOFR. So I think that we will see a transitioning to that over time. 
Operator: Our next question comes from James Ulan of Credit Suisse. Please go ahead. 
James Ulan : So we've chatted with a handful of fleet managers who are saying that they're expecting neo and MAX lease rates to go up. And we had really chatted with enough to form a big sample size. But I was wondering if you could share some feedback that you're getting from your customers about how the MAX is impacting lease rates on I guess the deal and also current generation narrow bodies?
Peter Juhas : It's -- the MAX is just being grounded for relatively short period of time. So the impact that it is having is difficult to say also because there is no clarity around when the slots that you had will actually deliver. So you're not in a position to actually really offer them to customers at the moment. So with that lack of clarity, it's not easy to offer aircraft into the market at the moment.  As I said earlier on, really since its launch the neo has been fairly strong and has maintained its strength in the markets over the course of the last three, four years. We've moved over 200 of them. So we still see solid demand for the airplane. The fact is you replaced out already many years in advance. So there isn't necessarily an impact on the neo placement in the near term because of any issues with the MAX. And as I said then on used airplanes we saw very strong markets last year and it was more -- any fall off in that was happened in December well before the MAX grounding and I was due to really the sell-off in the financial markets which then obviously we saw a strong bounce back in those values more recently.
James Ulan: What about for the lease rates for the current generation technology?
Aengus Kelly: Again, look you’ve got to look at we’re at 99.6% utilization, so it’s not that we have a bunch of airplanes on the deck that we can just put up in the air because of the shortage of MAXs. So we don’t immediately generate a gain from that per se.
Operator: Our next question comes from Reno Bianchi of Cantor Fitzgerald. Please go ahead. 
Reno Bianchi: I have a question related to HNA affiliate exposure. My understanding is that you had three narrow body and 15 widebody. I just want to, if you can give me a little bit of color so what is happening there, so how late they are with the payment?
Peter Juhas : Sure. Well, you can see our receivable position at the end of the quarter in totality was at $60 million which is below the averages. We do -- we are working with the members of the HNA group, be it the different airlines. We do believe that the airlines themselves are viable businesses. The issue they struggle with of course is to some extent what happened at the parent level where liquidity has been taken from the airlines. It was encouraging to see the first steps in the closure of the Hong Kong Express sale to Cathay Pacific occur. There has also been another -- other airline AOCs in China, I believe there’s also some interest in those. In China an airline AOC is a pretty difficult thing to get unlike in Europe or the U.S. where anyone can set up shop tomorrow and there there’s only been a handful of them grated in the last several years. So, it’s quite a valuable asset to have. So there is value in those HNA airlines and we are working with them and have worked with them to be fair over the course of the last year. But as I said, you can look at our overall receivable position to see where we stand.
Reno Bianchi: Okay. My second question, I want to -- trying to dig a little bit deeper on the gain on your book in the quarter, the $78 million on the sales of 22 aircraft. It came down to $3.6 million per aircraft. And when I look at the recent history the only quarter that you exceed that number was fourth quarter 2018 when you booked about $4.3 million per aircraft. But that particular quarter you sold aircraft on an average were 12 years old versus 16 this quarter. So, the bottom-line is it seems like that $3.6 million per aircraft is quite in excess of the average $1.5 million, $2 million and I think you booked for most of the last three or four years. I am wondering, were there any particular to the composition of the 22 aircraft that you sold this quarter. Is that more a reflection of the market coming back. What make for that seemingly very high gain per aircraft?
Peter Juhas : So you’re right, it was definitely above the average that we have -- averaging that we have sold out over time. They were older aircrafts here, but not that different really when you look at it over last couple of years what the average has been in and around that 14 to 16 year old average age. If you think in some cases, and some of these older aircraft, we're able to extract a lot of value for them, you know that we have a conservative depreciation policy as well, right, for older aircraft and that's part of it. But I think the -- so I think that we're looking at this relative to our book value, and I think what you can see from this is that it's -- we are able to realize -- more than realize the book value in our older assets. And in fact, typically you see that 18% gain, that's a big margin. And as I mentioned before that's on unlevered basis. That shows you how solid that book value is. And so while I wouldn't take that necessarily as an indicator to say that next quarter across the board, across the industry you're going to see higher values per aircraft, I wouldn't say that. But I would say that this is what gives us confidence that our book value is fully real, it's fully realizable and more. 
Aengus Kelly: And Reno, I mean as Pete said, it does bounce around, it averages around 8% on a gross basis, which on a levered basis which is what we are that’s closer to 1.3 times our book equity. And I think you can look back over the last 12, 13 years since we've been a public company in every single year, we've generated a gain on sale selling off. 
Reno Bianchi: My final question if I may. At the end of last quarter you had 398 aircraft and were fledged to different credit facility. How many aircraft were fledged at the end of the second quarter?
Peter Juhas : It’s 359 Embraer aircraft at the end of the second quarter.
Reno Bianchi: How many? I'm sorry.
Peter Juhas : 359.
Operator: Our next question comes from Kevin Crissey from Citi. Please go ahead.
Kevin Crissey : Just one question from me. A big picture, long-term. Can you talk about the opportunities and risks maybe from electric aircraft and/or other technology changes that might be out there that on a long-term basis may adjust the market?
Aengus Kelly: Look, Kevin, you may have seen that last Monday -- Monday of last week we delivered a brand new 787-9 that conducted the longest ever biofuel flight of 12.5 hours. So the challenge of biofuel of course is can it made efficiently at scale? And the answer to date is no. That maybe -- that is a substance that can be used today. And the question is around cost. Electric engines are not that advanced yet or other types. I think you do have to look at the extraordinary investment that is required to develop an aircraft and an engine and the risks associated with that development are extraordinary as well as recent events have shown us.  So I think it will be some time before we see the replacement of the current technology engines that we have by an alternative fuel source given the huge risks involved in doing it. I think it could be quite some time. 
Operator: Our next question comes from Koosh Patel of Deutsche Bank. Please go ahead. 
Koosh Patel : How do you think about -- how do you think the introduction of the A321XLR might impact the widebody replacement cycle and more specifically valuations and demand for some of the smaller variants of widebody aircraft such as the A330-200 or 767s or even the 787-8? I know you have a number of 321neo on orders well, would you consider converting some of these o the XLRs?
Aengus Kelly: The XLR is a very interesting aircraft, it’s very powerful airplane. But what you have to remember is the heart of A321 market is flying less than three hours. That’s where the vast the majority of the market is, because the further an airline goes from home the greater the risk it carries. Further you go from home no one knows who you are and how do you pick up freights and passengers from the far side. That’s always a challenge where when you fly long haul. So, I do think we’ll definitely take some of that market -- aircraft, there is no doubt about it. I think again that you will see of course over time we will take up some of the routes that are currently flown by widebody assets that aren’t built for those routes and could it be a better airplane those with short, [call it]. But it’s not going to come into service and scale until 2025, 2026 before we see it in scale. It maybe even later to be quite frank and that’s a ways off. And the way we wanted to the setup the AerCap portfolio is that as you mentioned our A330s et cetera at that point in time because we do believe that there is a replacement cycle coming and we’ve been getting ready for it for the last five years because we could see it coming given our knowledge that we see and the information we have in the markets that we have limited to minimal exposure to that aircraft type in that timeframe.  And if we see that the market is more than a niche market for the XLR, we’ll certainly convert some of those airplanes that we have as A321s into that aircraft type. But at the moment the heart of the A321 market is still in the say less than four hour mission, many are less than three hours. So an airline will ask itself if all I’m going to do with that airplane is fly from New York to Miami and do I want to carry all that extra weight that could enable the airplane to fly from New York to San Diego. You’re not going to get paid for carrying that extra weight around. So that’s the question the airlines will be asking themselves, is it an aircraft that’s applicable to more than a niche component of my selection.
Operator: [Operator Instructions]. We will take our next question from Susan Donofrio of Macquarie Capital. Please go ahead. 
Susan Donofrio: Yes. Just a question on your customer watch list. Could you say it is better, the same or worst relative to a year ago? Fuel is better that I just want to kind of circle around.
Aengus Kelly: I’d say overall it’s similar. You’re right, fuel is better. Brent which really is the key index for the global markets has been in the low 60s, that’s a big driver. But overall as you know look we’ll always have a few customers, that’s just the nature of the business that have their issues and we work with them. But again I would stress that as you have seen over the course of the last 13 years as a public company, defaults haven’t been a material driver of AerCap’s performance over that period of time. So would I expect when the winter comes one or two guys have to make it? Sure. Is that something out of the ordinary? No, it's not. We don't see anything much different to where we were last year. And this time last year I think we were looking at the Air Berlin and Monarch situation. 
Operator: That concludes today's question-and-answer session. At this time, I would like to turn back over to the hosts for any additional or closing remarks. 
Aengus Kelly: Thank you. Thank you everybody for joining us today. Look to sum up, we delivered another very strong quarter, our best ever with $2.42 of EPS. We've increased the outlook for the full year. And we'll continue to run this business in a way that's focused on the future and generates the maximum value for shareholders. We look forward to speaking to you again in three months time. 
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.